Wilfried Verstraete : Thank you, operator. Good morning, everybody. So my name is Wilfried Verstraete, and I am the Chairman of the Board of Directors of Worldline. As you will see later on in the presentation of the financial results. These results demonstrate our strong resilient performance and also the strategic direction of the company. But before handing over the call to Gregory Lambertie, our group CFO, who will walk you through these results. I want to address last night's announcement of Pierre-Antoine Vacheron as our new group CEO, effective March 1, 2025. Let me first express our sincere gratitude, the name of the Board to Marc-Henri Desportes, who has served as Chief Executive for an interim period. His significant contributions to the development of Worldline in his roles as Deputy CEO and as Interim CEO, have been invaluable. The Board appreciated his leadership in maintaining the company's momentum since October 2024. Marc-Henri will ensure a seamless transition to Pierre-Antoine, reflecting his unwavering commitments to Worldline's continued success. So the Board of Directors has decided that the company requires a new external perspective and has selected Pierre-Antoine Vacheron after a rigorous international selection process led by myself and the Nomination Committee. This change in leadership is a crucial part of our strategic plan to drive the company forward. The Board of Directors yesterday has unanimously approved the recommendation from the Nomination Committee. Pierre-Antoine brings extensive experience within the BPCE Group, having been Head of Payments in the Digital and Payments division since 2018. And from 2009 to 2017, he successfully led Ingenico's merchant and acquiring services activities. This is where he played a key role in expanding operations and fostering partnerships across diverse international markets. His ability to lead in a complex multicultural and international context is well proven. Pierre-Antoine Vacheron is a strategic executive with profound industry expertise. His deep understanding of global markets and proven ability to deliver results in challenging environments make him the ideal leader for Worldline. His passion for technology, commitment to positive transformation, assured leadership and focus on performance and delivery are seen as invaluable assets. The Board is confident that under his leadership, Worldline will strengthen its position as a frontrunner in payment technology and drive sustainable value creation. In the coming months, you will have the opportunity to get to know him much better. And I am convinced that you will appreciate his knowledge and expertise and, of course, the continuous improvement of our results. So now I want to hand over the call to Gregory, who will walk you through our full year 2024 financial results and answer any questions you might have after his presentation. Thank you. Gregory?
Gregory Lambertie : Thank you, Wilfried. And good morning, ladies and gentlemen. Welcome to this full year 2024 call. I'll start by going through the highlights of '24, detail the accounts and then give you an outlook for '25. As we detailed during the Q3 presentation, our efforts have mainly been focused on 3 well-identified areas. Firstly, accelerating our investments on our core product offering and growth accelerators for which the first signs of success are evident in our commercial dynamic. Secondly, maintaining a tight control of costs, including finalizing the delivery of Power24 in order to secure a rationalized cost base. And finally, executing on our portfolio pruning to drive a leaner and more focused organization. As a result of those actions that will continue in '25, we expect to see a progressive acceleration in growth starting in the second half of this year. This will be driven by our strengthened commercial dynamic as evidenced by some important wins in recent months, the ramp-up of our distribution and banking partnerships as well as our core product offering. Let's now have a look at the main highlights for 2024. In a macroeconomic context that remained soft throughout the second half, we managed to deliver revenue of €4.6 million, equating to organic growth of 0.5%, with H1 growth coming in at 2.1%, followed by a slight decline of 1% in H2. Full year '24 adjusted EBITDA came in at €1.07 billion, impacted by the revenue slowdown we experienced in H2 but supported by the delivery of Power24. Looking at our H2 '24 dynamic in greater detail. As you remember, our Q3 revenue growth was impacted by specific challenges in Australia and in some online verticals. As we had indicated during Q3 revenue call, management focus was placed firmly on resolving those issues as early as Q4, and this is what we did. Australia is now back to accretive growth, thanks to pricing action under the new leadership and the online verticals performed much better as we accelerated the onboarding of new customers, while benefiting from the ramp-up in volumes from already onboarded customers. While this drove a slightly better performance in Q4 relative to Q3, we obviously acknowledge that not everything is going perfectly yet. In this challenging environment, the teams nevertheless delivered well on free cash flow performance with free cash flow of €201 million in 2024, including €139 million nonrecurring expense linked to Power24. This reflects our strong focus on controlling costs across the board, be they operating costs, CapEx or integration costs. Looking at 2025, we expect a rather slow start to the year given the ongoing refocusing of the company and the continued impact of headwinds in the business, plus the delay of hardware deliveries and some market share loss in Northern Europe. So we're confident that we can return Worldline to progressive growth reacceleration in the second half, driven by a number of leadership changes in MS, the end of the impact of merchant terminations and major client reinsourcing in FS, plus the ramp-up of newly signed clients. Let's now have a look in more detail our initiatives and growth drivers in Merchant Services that will help us reaccelerate later on this year. We reorganized MS through Power24, increasing our customer centricity approach under the new leadership of Paul Marriott-Clarke, we have strong assets to leverage our scale, our European reach and our wide product range. A number of signings should drive future growth, namely the ramp-up of our partnerships with CCB and Credem in Italy, which will add around 85,000 new merchants, the expansion of our market reach through ISVs, such as Tabesto and Wix, the latter being a new win signed in Q4 that will allow Wix users to access Worldline's local payments and banking solutions to better meet customer expectations. We also signed a partnership in Italy with RCH, a leading technology company for the management of electronic cash systems to offer integrated payment solutions at the point of sale. Meanwhile, the joint venture with Credit Agricole is progressing well with an initial offering for SMBs that will be followed later in the year with products for the enterprise segment. Other key contributors to our growth acceleration include embedded payments with, for example, nearly 30,000 sellers onboarded onto the OPP platform, which helps us address ISVs and marketplaces across Europe. And the extension of our Tap on Mobile solution, where the monthly MSV is now at around €13 million and growing fast. Looking to our other divisions. Our Financial Services will remain impacted by the one-off reinsourcing in the Payment accounts segment in the first half. The momentum will improve thereafter, and we're confident that we'll be back on growth in the second half of 2025. We continued our positive commercial dynamic in Q4 with further wins, notably in Instant Payment, which, together with our strong position in issuing has led to around €200 million of new business signed in 2024, a 50% improvement versus the prior year. This clearly underpins our ambition to return to growth. Finally, in MeTS, after a positive 2024 showcasing our dedicated solution for eHealth and contact solutions, we expect further growth in '25 and beyond, driven by product expansion and innovation. Moving on to free cash flow and cost control. This has been a key area of focus. Power24 has been successfully executed, enabling cash cost savings of €220 million with a full run rate towards the end of 2025. The savings are visible on a number of levels. In the P&L, we had benefits of €117 million on our cost base in 2024, and we expect a further €70 million in 2025. In our CapEx, which we managed to reduce by 15% in '24 in absolute terms with the stabilization expected in the medium term. That's another €50 million. And in our rationalization and integration costs, which decreased by more than €50 million in 2024. Integration costs should continue to come down in the coming years to eventually represent less than 1% of revenues. So all these efforts paid off with free cash flow protected versus other limits of the guidance, and we'll maintain this free cash flow focus going forward. This should enable us to improve operating leverage in the medium term as our revenue growth regains traction. Now regarding the outlook for 2025. In the current context, we expect a similar growth rate in 2025 versus 2024 with a progressive acceleration in H2 '25 after an H1 performance slightly below Q4. In terms of unlevered free cash flow versus '24, we expect some growth before the cash cost of our net financial debt. Further details regarding the 2025 trajectory will be provided during the Q1 2025 publication on April 23, 2025. In the meantime, the new CEO will be working on Worldline's next strategic plan to be presented in the autumn. Moving on now to the full year 2024 financial. Let's look at headline numbers. As mentioned earlier, we posted €4.6 billion in revenues, representing 0.5% growth. And in NNR terms, this means a contraction by 1.3%. On profitability, adjusted EBITDA reached €1.07 billion in 2024, representing 23.1% of revenue. Based on NNR, our adjusted EBITDA margin stands at 28.7%. Free cash flow stands at €201 million or a conversion rate of 19% and normalized net income group share reached €434 million, representing 9.4% of revenue, while reported net income group share equates to a loss of €297 million mainly due to the one-off provision related to Power24 and the impact from a revised fair value of the TSS preferred shares. Normalized diluted EPS stands at €1.53 per share. Moving on to the revenue performance by business line on the next slide. Our fourth quarter came in at €1.2 billion at group level i.e., contracting by 0.9% in organic terms and 4.3% on an NNR basis. This increase in NNR to NR GAAP is mainly related to lower hardware sales that I remind you are 100% NNR, thereby having a dilutive impact on NNR growth and a higher proportion of higher fee international schemes. Looking at it by business line. The main highlights for Q4 are MS up 1.2%, and in a soft context, activity in the quarter was held back by the termination of merchant contracts and delays in the delivery of NextGen on hardware products. Specific issues encountered in Q3 in Asia Pac and in online were resolved as planned, driving a sequential Q4 growth versus Q3 that stood at 0.2%. For the full year, organic growth in MS came in at 1.9% with good momentum in our core geographies such as Central Europe and strong activity driven by market share gains in Italy being partly offset by the headwinds I just mentioned. FS is down 8.9% in Q4, largely affected by the reinsourcing process of a significant client, which had already impacted Q3. Lastly, MeTS grew 1.6%, mainly driven by new business development in France. On a full year basis, on the next slide, organic growth is at 0.5%. And as you can clearly see on the chart growth in MS slowed in H2 versus H1 due to the specific issues faced in H2. Financial Services in H2 was also significantly impacted by the reinsourcing process we mentioned, while MeTS managed to deliver a slight acceleration in growth. Looking at margin evolution by GBL, MS adjusted EBITDA amounted to €815 million, up 24% of revenues. FS adjusted EBITDA reached €242 million, representing 27.1% of revenue. MeTS adjusted EBITDA stood at €68 million, representing 19.4% of revenue. Finally, corporate costs amounted to €54 million in '24, representing 1.2% of group revenues. In terms of business dynamics on margin, as illustrated on the next slide. One-off items and specific issues impacted the group's profitability in the second half. A division figures -- or key figures are as follows: for MS, margin impacted in H2 by softer revenue performance and one-off merchant termination process, as well as the unfavorable country mix linked to the outperformance of Southern European markets relative to Central Europe. In FS, after good performance based on strict cost control in H1. EBITDA was affected by the full effect of the contract resourcing in H2, which was not fully offset by cost based mitigation actions launched in the second half. For MeTS, EBITDA performance reflects a good improvement in the first half before accelerating in the second half, driven by good productivity improvement and project rollouts. Finally, corporate costs decreased by €6 million over the year, including a €4 million reduction in the second half. Now on the operational items of the P&L, the largest impact on EBITDA is the €203 million Power24 cost, mainly related to a noncash provision linked to people restructuring costs. On integration and rationalization, they're down by circa €60 million. Our reported EBITDA, therefore, reached €750 million. Net finance costs reached €406 million negative, impacted by a €349 million fair value change to the TSS preferred shares. Income tax expense was at €11 million. The annual effective tax rate being at 22.4%. As a result, net income group share stands at minus €297 million and normalized net income group share at €434 million. Looking at the cash flow statement on the next slide. We generated €201 million of free cash flow or 19% of adjusted EBITDA. The main elements are a change in working capital flow of €72 million. Tax paid increased compared to 2023, mainly due to catch-up payments. Our CapEx was lower in euro terms as mentioned earlier and mirroring the P&L trends and excluding Power24, our integration costs were down by circa €50 million. Overall, free cash flow before Power24 stood at €340 million, close to 32% cash conversion. And finally, regarding Power24 execution costs, we've spent €139 million. After deduction of Power24 cash cost, our reported free cash flow came in at €201 million. Next, on the net debt. At the end of 2024, our net debt stands at €2 billion under our new definition, including IFRS-16 leases or 1.9x adjusted EBITDA. On the debt and liquidity management front, structural actions were implemented through the year. We signed a €1.125 billion revolving credit facility maturing in '29. It replaces and upsizes the former €450 million and €600 million lines, which were maturing next December. We issued a new €500 million bond under our existing EMTN Programme maturing in November '29 and paying 25% per annum on the outstanding amount. These bonds are rated BBB-, in line with the most recent corporate rating in the company. And finally, we repurchased and then canceled outstanding OCEANEs due July '25 for a total of €250 million, bringing the total reimbursed debt for the year close to €1 billion. Worldline will continue to actively manage its debt maturity profile while maintaining a high level of financial liquidity. So to wrap this up, I'd like you to remember 3 things about this presentation. 2025 should be a year of 2 halves with progressive reacceleration again on H2, driven by an easier comp and new leadership in MS, new customer ramp-up and product deliveries. Secondly, we'll remain focused on cost actions and free cash flow generation. Finally, as you saw in last night's press release, and Wilfried's remarks, we'll welcome Pierre-Antoine Vacheron, our new CEO next week and look forward to his fresh perspective for the group. Thank you very much for your attention, and I'm now ready to take your questions.
Operator: [Operator Instructions] We will now take the first question from the line of Josh Levin from Autonomous Research.
Josh Levin : Two questions from me. You mentioned you're losing market share in Northern Europe. Can you give us more detail about that? Who are you losing market share to and why? And then second, so the new CEO will present a new strategic plan in the autumn, that's at least 6 months away, if not longer, how do you manage the business in the interim with all the uncertainty?
Gregory Lambertie : So in terms of market share, what we've called out is a softness in Northern Europe, more precisely in Belgium, where we've been suffering from slower product deliveries than we would have liked to. We've put in place an action plan on -- with a special task force on product deliveries, and we expect those products to be delivered in H1 2025. And we've also changed leadership in SMB and in Belgium. And that's the recipe we've applied to Australia. And as we've set Australia is back to accretive growth. So we expect this situation to be sorted in H1. Now on the strategic plan for the autumn. I think it's only fair to say that we should give time to the new CEO to come in. He knows the industry. He knows big share of the perimeter, and he will be here as of next week. So he'll be managing the business in the meantime, together with the team and the renewed leadership in MS.
Operator: We will now take the next question from the line of Frederic Boulan from Bank of America.
Frederic Boulan : Wilfried and Gregory. 2 questions, please. First of all, starting with MS, so 4.3% net revenue decline in Q4. I mean you mentioned a number of impacts, hardware, international fees, Belgium. I mean if we can step back a bit and go through some of the main building blocks around merchant numbers, volume, pricing, how is the business trending in some of the key geographies like Germany, Switzerland, I guess, Holland any other specific trends you want to point out in terms of geography and segments, driving that 4% pressure or it's just some of the hardware international impacts that you flagged earlier? And then secondly, on free cash flow. So you're changing the parameter to now exclude interest. Are you also planning to grow free cash flow post free cash flow -- sorry, post interest in '25? And if you can discuss some of the moving parts in '25, working cap was a bit negative this year, in '24. So if you can spend a bit more time on what's driving that, what you expect going forward and same on the restructuring costs.
Gregory Lambertie : Fred, thank you for your question. So on net-net revenue, indeed, I mentioned – I called out a number of topics. So what you have to bear in mind is that normal NR to NNR gap is 1.5 – it’s around 1.5 percentage point. And this gap widened in Q4, primarily due to lower hardware sales versus a very strong push at the end of 2023. As a reminder, these are 100% NNR sales, so we had less of those, which has a dilutive impact. Furthermore, payment method mix was more tilted to international schemes, and it’s what we’re seeing through our core markets with strong growth in Southern Europe, marked improvement in Australia, which is accretive to growth at the moment and which is a pure international scheme country, in fact, very visa countries. So these are higher – I mean, geographies with a higher share of high fee international schemes versus other markets. So – that’s that in terms of the NR to NNR. As we said, if I have to comment on geographies, we’re seeing softer dynamics in Northern Europe with Belgium called out with a specific task plan, good dynamics in Southern Europe and Australia with standard growth rate, I’d say, in Switzerland and Germany. Now you also asked on the free cash flow. As you’ve seen, we’ve remained very cautious on the outlook. In 2024, we delivered well on free cash flow with working capital actions and €100 million worth of reduction of integration costs and CapEx discipline. So in 2025, we intend to continue with a full focus on free cash flow. But we will face higher financing costs related to the debt refinancings, which we executed in the past 18 months. So what we said is we’re confident to grow our unlevered free cash flow, which reflects the operational performance of the company in a rising interest rate context. You also asked about various components, including the working capital. Working capital is an outflow of €72 million in 2024. We had mentioned to begin the year that we would have an outflow due to lower bank advances this year and that things would sort of normalize – neutralize going forward. This is still the plan. What happened here is that we had a number of actions on working capital, namely faster collection, reduction of inventory. And we also paid out suppliers faster this year. So not only did we absorb this faster payments and bank advances, but we did that through the better focus on the rest of the working capital. So I would say that the free cash flow performance is a good quality, a better quality than it’s been. So It's Improving with a tight focus.
Operator: Will now go to the next question from the line of Hannes Leitner from Jefferies.
Hannes Leitner : I've got 2 questions. On the first one is on Merchant Services. Can you give us an update on the joint venture with Credit Agricole, please. are you on track to see some revenues being onboarded in H2? And then the second question is, can you comment on the French banks joint venture between BNP and BPCE called Estreem and what kind of current relationships in the processing you have with those 2 partners or banks?
Gregory Lambertie : So on Credit Agricole, this is a partnership that's strategic to Worldline. It's progressing well with a full focus on product deliveries. What we're focused on is delivering SMB online in H1 and omnichannel solutions in H2. And in fact, we've already been hunting together with some marquee wins in France. And that remains a key area of focus, both on the product and the commercial front. In terms of your comment with the 2 French banks partnership, your question on the 2 French bank partnership. For us, this is very different venture. As you know, this is a long-standing partnership with -- between those 2 banks. So this is the continuation of a long-standing partnership that is in processing. So not targeting the same segments as core, which is targeting merchants in France in order to provide them with the best payment solutions. So this is for us 2 different animals, core, career focus, strategic partnership with Credit Agricole and there is another processing factory in France.
Hannes Leitner : Excuse me, I didn't mean that those 2 are connected. I'd rather more mentions within your financial services, these 2 joint venture is competing with you head on and you state BNP is one of the largest customer or a bank customer. So is there any impact expected going forward?
Gregory Lambertie : No material impact here. The 2 companies have had this partnership for long. So it’s not changing anything as far as the addressable market is concerned. And in fact, we do not expect a material impact of that joint venture on our business.
Operator: We will now take the next question from the line of Justin Forsythe from UBS.
Justin Forsythe : So I've got several questions here. First question, so I wanted to ask about Germany. More specifically, the Boston special regulator that it seemed like was sent out to the PAYONE unit. Can you discuss a little bit more what happened there? And do you expect any impact to the go-forward growth algo? And further in Germany, are you seeing any increasing competition after Fiserv and Global Payments in the last several years have launched joint ventures with the second and third largest banking groups in the country? Next, I wanted to ask about the EBITDA margin expectation. I know you haven't explicitly guided anything, but if I look at your NNR EBITDA margin, excluding the benefit of cost saves, it appears to me like you're going to have to see quite a meaningful acceleration in kind of core operating EBITDA margin expansion and cost leverage going forward after you lap those benefits. So maybe you could talk through the moving pieces and how you expect to reinflect your margin cadence going forward. And lastly, I wanted to ask around embedded payments, some nice stats you gave there around the ramp. I thought historically, OPP, which you referenced was more of a C2C marketplace solutions such as for Gumtree is Craiglist of the world. So maybe you can talk about what that solution is providing currently or if there's other embedded payments products that you are launching in the market.
Gregory Lambertie : That's a lot of questions here, Justin. Thank you, and welcome on the call. That's right. So, in Germany, in the special regulator, this is really the tail end of a process started a couple of years ago. We've been communicating quite a bit there. This is really just the remediation phase of the process, and we're working hand-in-hand with BAFin. So nothing new here. You also asked about incoming competition in Germany. We're not seeing a change in the competitive environment there, still enjoying good partnerships in terms of distribution and seeing market growth there. Third question is around EBITDA margin development. Here, I can only encourage you to reference the statement we made regarding outlook, we'll be more precise on EBITDA development at the Q1 revenue call, which will take place on the 23rd of April. At the moment, there are indeed building blocks around cost savings with Power24, new business dynamic to come in H2, but also the tail end of the impact of headwinds I just mentioned during H1. So we'll be more specific in 6 weeks, if you don't mind. And lastly, on embedded payments, this is indeed the integration of our embedded payment solution within OPP, allowing us to integrate our payment solutions in a more seamless manner in marketplaces environment, in particular. And sometimes, up to -- I mean within a week of -- with activation within a week of onboarding. So it's a real acceleration in our product development, but also in the breadth of our product offering. So it's one that's starting initially with a limited set of countries in which we intend to expand in the coming years.
Justin Forsythe : Got it. That's really helpful. Just one clarification on that final point, and I appreciate you hitting all those questions. For the embedded payments piece, I know you had a legacy Bambora solution that was intended to be rolled out through Germany, I think, over time after initially being founded in Sweden. Is there an in-person embedded payments play as well? Because as I understand that, as per your comment there, that's a marketplaces play. Was there an in-person embedded payments play as well?
Gregory Lambertie : That's indeed part of the theme. I mean there are 2 themes here. There is the marketplace/online, I just alluded to. And you're right, there is a an in-person element, we're not announcing anything yet. But obviously, as you rightly point out, we had the Bambora solution. We wanted -- and I think the -- and the intention is to roll it out further in the market in store. So you're absolutely right. no news at the moment, but we'll come back with more detail later in the year. This is a 2025 topic.
Operator: We will now take the next question from the line of Sven Merkt from Barclays.
Sven Merkt : Unless I missed it, I think you haven't given us the leverage target. You talked to 1.5x in the past. Can you give us just some color on how you think about this going forward? And then secondly, can you also please comment further on the slowdown in Financial Services in Q2 versus Q3 and remind us on the precise percentage impact from the large contract insourcing? And then just finally, it would be great if you could also comment on the growth outlook on a net revenue basis. You mentioned earlier that that's usually a 1.5% delta. Is that the right way to think about 2025 or anything else we should consider?
Gregory Lambertie : Thank you for your question. You're right. Our target leverage remains at 1.5x. We're committed to maintaining a healthy financial policy. So that's still very much the target. Number two, slowdown in FS is very much linked to the reinsourcing of a large customer, which happened at the end of Q2, as we mentioned during the Q1 earnings call earlier in 2024. The impact, as we said, is a high single-digit percentage of FS growth, so it's material. And the anniversary -- and after the anniversary date in '25 in May, we should be clear of that headwind. Finally, on growth outlook on an NNR basis, as you've seen, we've been pretty cautious overall on the guidance. So I urge you to wait for the Q1 call on April 23. What we've said is that growth outlook for the year would be accelerating throughout H2 after an H1, that would be slightly shy of the Q4 performance. That's because FS MTS should be consistent with Q4 exit rates, while on the MS front, we'll still have lower hardware sales with a very strong comp in H1 '24 on that hardware sale piece. The last part of your question around NNR is how should we guide and I think I've addressed that piece.
Operator: We will now take the next question from the line of Sandeep Deshpande from JPMorgan.
Sandeep Deshpande : My first question is regarding your Merchant Services business again. When you say that you are seeing weakness, I mean, primarily in Belgium, but the other Northern European markets like Germany are doing fine. Why is it that your guidance into the first half of the year is such that you're not going to see that reacceleration in that Merchant Services business, given that Germany overall isn't doing so bad in terms of market share is what you're highlighting here, so are you seeing big negative impacts in some markets like Belgium? And then my second question is, how do you see this trajectory through 2025, the weakness in the first half and then the strength in the second half? Is this mainly Financial Services? Or you expect Merchant Services also to accelerate in the second half and why would it accelerate in the second half?
Gregory Lambertie : Okay. So lots in your question. On the Merchant Services front, in terms of geographical mix, I think that was also Fred's question earlier, the -- what we're seeing, as we said, is strong dynamism in Southern Europe. So Italy, Greece are performing well. Northern Europe, a little bit more shy in particular in Belgium, mainly due to product deliveries there, which we're sorting out in H1, and we're also addressing it in terms of leadership. With regards to your question around Germany, and the rest of the perimeter, what we're saying is that this is in line with sort of the rest of the core. So nothing particular to add there. I didn't fully get your question around the guidance. And I guess, this is captured in your final question on H1, H2 dynamics. So for us, H2 should be accelerating due to the better comparison basis, and there is no more reinsourcing impact of FS. But also, there is no more merchant terminations and POS, so hardware impact, in MS as of H2, less -- I mean, the comparison basis will be easier. Then there is the rollout of NextGen products, including POS throughout H1 and throughout the year. Volume ramp-up of existing customers, we signed Qatar Airways, I mentioned and Google, where we see good volumes ramp up. And finally, the new leadership both at MS, the helm of MS, but also in SMB, in Belgium is giving us confidence to be able to reengage in some of the countries that we mentioned as being a bit slow. So that's how we see the development throughout the year. Thank you, Sandeep.
Operator: Thank you. We will now take the final question from the line of Emmanuel Matot from ODDO BHF.
Emmanuel Matot : First, why have you decided for an external candidate becoming CEO of Worldline? And what are the ambitions of the Board for Worldline? Do you think the company can remain independent? Second, should we be concerned about the cycle of reinsourcing by banks in Europe of processing services, your Financial Services division has already been impacted by the loss of the contract. Third, how far along are you in the process of selling certain assets that would represent around 10% of your sales, if I remember correctly. And my last question, you still have a lot of goodwill in the balance sheet. Remember, you did an impairment in 2023. But no need for further impairment in '24 despite results below initial expectations and valuations going down in the sector.
Gregory Lambertie : Thank you, Emmanuel. That's a healthy menu here. On external candidate, I will not comment on the Board decision, I will not comment further on the Board decision. We are ready to welcome Pierre-Antoine as of Monday. That's all I can comment upon. In terms of the FS dynamics in general in the addressable market, this is -- for us, this is not a sign -- the reinsourcing is not a sign that the market is -- the addressable market is decreasing. This was really a very specific situation with 2 banks merging in Germany and essentially insourcing for synergies reason. The acquirer was already in-sourced and as part of their synergy plan, they insourced our customers. So -- and this is in no way a diminution of the addressable market. In fact, what we're seeing on the market in FS is probably a little bit less competition. So we are a little bit less -- a little bit more optimistic going forward. We've seen less pricing pressure upon renewals. So we're cautiously optimistic on FS. Then you asked about the portfolio pruning. It's progressing as planned. We've already received inbound calls and expressions of interest in some of the assets. So this is going as planned. And finally, you're asking about goodwill and further impairments what we've done this year is a thorough exercise with an external adviser as well as with our -- which was looked into by our statutory auditor, and we are not seeing any goodwill impairment necessary at this stage. Thank you very much Emmanuel. And thank you all for attending the call this morning. Much appreciated. Goodbye.